Operator: Good morning, ladies and gentlemen, and welcome to the Slate Office REIT Second Quarter 2023 Financial Results Conference Call. [Operator Instructions] This call is being recorded on Wednesday, August 02, 2023. I'd now like to turn the conference over to Paul Wolanski, SVP, National Retail Sales and Investor Relations. Please go ahead.
Paul Wolanski: Thank you, operator, and good morning, everyone. Welcome to the Q2 2023 Conference Call for Slate Office REIT. Today, I am joined this morning by Brady Welch, Interim Chief Executive Officer; Charles Peach, Outgoing Chief Financial Officer; and Robert Armstrong, incoming Interim Chief Financial Officer. Before getting started, I would like to remind participants that our discussion today may contain forward-looking statements, and therefore, we ask you to review the disclaimers regarding forward-looking statements, as well as non-IFRS measures, both of which can be found in management's discussion and analysis. You can visit Slate Office REIT's website to access all of the REIT's financial disclosures, including our Q2 2023 investor update, which is now available. I will now hand over the call to Brady Welch for opening remarks.
Brady Welch: Thank you, Paul. In a challenging operating environment, our team remains focused on positioning the REIT's portfolio for stability and long-term performance. This quarter, we continued to assess opportunities to strengthen the REIT's balance sheet and liquidity. In April, the Special Committee of the Board completed its review of strategic alternatives and announced the value preservation plan, under which the REIT amended its monthly distribution to retain $24 million of cash annually. The REIT's Board unanimously approved this plan as the most prudent way to preserve value for unitholders in the current macroeconomic environment, while also positioning the REIT for long-term success. The REIT's leasing activity continues to show improved rental rates for both new leases and renewals. Looking ahead, our team remains focused on leasing vacancies, extending lease terms, increasing occupancy, and growing in-place rental revenue. Long term, we continue to look for opportunities to reposition the REIT's portfolio away from capital-intensive assets towards stable cash-flowing assets, with lower capital requirements. We believe the office plays an essential role in workplace culture, productivity, and innovation, and we continue to evaluate opportunities to align our portfolio with stable tenants assets and markets. I'll now hand it over to Charles for some additional highlights.
Charles Peach: Thank you, Brady. Leasing in the quarter continued to capture increased rental spread with a weighted average rental rate spread of 12.1%, and the portfolio has a 3.5% weighted average discount to current market rent. The next 12 months maturing leases have in-place rents 9.1% below market rate, providing the opportunity to further capture this. Central banks in the REIT's markets of Canada, the United States, and Ireland have continued to raise interest rates over the quarter, which has made financing more expensive, while the market sentiment towards the broader OpEx sector has made credit less available. The strength of the REIT's rental revenue from its high-quality tenant base continues to assist with the refinancing of the REIT. Following the refinancing unsecured debt in the first quarter, in the second quarter, we completed the refinancing of Commerce West, and progressed three other senior refinancings, all with different finance providers. I'll now hand over for questions.
Operator: [Operator Instructions] Our first question comes from the line of Sairam Srinivas from Cormark Securities. Please go ahead. Your line is now open.
Sairam Srinivas: Good morning, guys. Congrats on the good spreads this quarter, but I see that vacancy is also gone up on a quarter-on-quarter basis, sorry. Can you give some color on the vacancy you're seeing in Ireland and Atlantic Canada?
Brady Welch: Yes, so good question. I think for us, we're actually optimistic on the activity that we're seeing in our buildings. I think it's just a matter of timing. We've got some large potential users that are looking at space right now. We're actually doing some good leasing in Ireland specifically. We've done a couple of deals in Atlantic Canada. So it gives us some hope that we could continue along that momentum. The great thing for us is, I think we own the real estate at a very attractive basis on a per square foot and where rental rates are, we're not seeing the softening of rental rates. I think it's competitive out there to get tenants, and we're doing everything that we can to be competitive. So I think the vacancies -- the way it is, I look at it as upside for us to continue to like to increase our occupancy. That's how we're going to create more cash flow for the unitholders.
Sairam Srinivas: Brady, in terms of -- especially the Atlantic Canada portfolio, I know in the last couple of years, the strategy was to get those short-term leases over there in place and fill that in. And then a sense, therefore, fill the vacancy. Is that something -- are those leases that are coming up?
Brady Welch: We don't -- we have a small percentage of short-term leases in the portfolio. I think we always look to put term in to any deals that we do. So I think we have most -- our 10 largest tenants in the portfolio represent 40% of the cash flow. And we will always look for long-term commitments in our buildings, not shorter-term deals. So I don't want to answer your question, right, but we're intentionally looking for good tenants, good covenants, and commitments to our buildings.
Sairam Srinivas: Right, and to your point on focusing on occupancy, where do you see occupancy trending over the next six months?
Brady Welch: Yes. I think where we're at, I would say, we're hopeful that we can continue to add, we're just around 80%. As I said, it's a market right now that I mean an asset class where, hopefully, we feel that people are coming back to the office. I think if we look at the markets that we operate even in the greater Toronto area, we don't own any assets downtown Toronto. We have seen a lot of actually leasing activity in the suburbs of Greater Toronto area. And those markets seem to be performing better than downtown, and that's where our assets are. And then in Ireland, that market is performing very well. It's a different market than Canada, Ireland has the best GDP in the EU, a lot of foreign direct investment, we have assets that are located in markets where there's a lot of skilled labor and a lot of life sciences. And we continue to see, even though the vacancy might be stopped, we're like 88%, 89% occupied, and we actually see some uptick there. So I can't -- I would say we'll gradually chip away, and there's some -- as I said, there's some large potential deals that could make a significant difference for us if we're able to make that happen.
Sairam Srinivas: That's good color, really. Just really changing gears to financing. I know this quarter, you guys did some progress on refinancing some of the debt coming up. But can you give some color on the upcoming maturities and where you see those things getting refinanced?
Brady Welch: Yes. So as Charles mentioned, it's a market right now where access to credit has tightened, but that being said, we are in the process of refinancing approximately $130 million right now on two assets, which we hope to close in the next few days and we are continuing discussions with our lenders, and we're having constructive conversations with them. And so I think for us, that is our focus right now is liquidity in the company, making sure that we retain cash and work closely with our lenders in a challenging credit environment for office.
Operator: Our next question comes from Jonathan Kelcher from TD Cohen. Please go ahead. Your line is open.
Jonathan Kelcher: Thanks. Good morning. Just going back to the occupancy, it did dip a little in the quarter. How much of that would be nonrenewals versus tenants renewing but taking less space?
Brady Welch: That's a good question, Johnathan. I think it's a combination of both, where we've seen some tenants renew and basically contract on the amount of space they're taking, which I think is a broader macro issue for office. And then there were a couple of known vacancies. So I think it's a combination, but now we're looking -- where we've done some subsequent to June 30, we've actually done some positive leasing on larger deals, both in Atlantic Canada and in Ireland, so.
Jonathan Kelcher: Okay. So good progress. You don't have a lot maturing over the next little bit, but good progress on that.
Brady Welch: Yes.
Jonathan Kelcher: Okay, and general -- more generally speaking, how would you compare renewal rates now versus what they would have been pre-pandemic? Are you getting similar renewals?
Brady Welch: Yes. We're -- you know what our rates -- we haven't seen slippage on our base rates in the markets where we're operating, whereas that's where -- that why I made that comment about downtown Toronto. I don't know whether that's the same case. But all of our leasing spreads, both on new deals and renewals have been positive. And I think that's intentionally when we've always bought assets, we always focus on what's our per square foot basis and where our rents and there's the organic growth. So in the markets we have, we continue to see the same trends.
Jonathan Kelcher: Okay. And then just switching to the balance sheet, Charles, the total debt -- your total debt increased a little bit quarter-over-quarter. Was that mostly a function of FX rates or...
Charles Peach: No. We had one on our financing on Commerce West, we financed a slightly higher amount than we had before. So that showed the ability to up finance on some of the assets that we may have. We had a slight drawing on the revolver as well. If I look in totality at the amount of change in debt, let's say, from the end of December, I think it was just over 1%. So it wasn't a significant increase in the amount of debt that we have outstanding at the moment.
Jonathan Kelcher: Okay, and then just from looking ahead on that with the lower distribution level, should we expect the total amount of debt to tick down over the next few quarters?
Charles Peach: I think the amount of debt outstanding is going to be a function of what happens on the operational side of the portfolio. So at the moment, there are two things. One of which is, as Brady has mentioned so far, the ability to increase that rental revenue that we have by working on in-place rents and also by working on occupancy as well. And that comes in and that supports the quantum of debt we have outstanding. At the same time, there may be opportunities to release capital from certain assets by dispositions, for example. And if so, then that's down to the Board and management on the decision of how that might be best applied where that might be best applied towards accretive leasing, for example, or for example, in reducing what the debt might be on the company.
Jonathan Kelcher: Okay. That is helpful. That's it for me. I'll turn it back. Thanks.
Operator: Thank you. [Operator Instructions]. Our next question comes from the line of Brad Sturges from Raymond James. Please go ahead. Your line is now open.
Brad Sturges: Good morning. Just a follow-up on the questions on the balance sheet there, just from my understanding, in terms of the upcoming maturities that you're working, on at this stage would you be expecting to repay down some debt or would you be refinancing basically at similar levels based on your expectations today?
Charles Peach: I think we have a mixed environment. We have certain times where we -- as I mentioned before, the opportunity to up finance our assets. And there are other assets, which we will look to pay down that debt. We did similar towards the end of last year around 120 start to sell -- in Chicago, it was a fairly significant pay down there. So it swings around about across each of our assets, and partly because each of our assets are financed generally with the exception of our revolving facility individually. And it's an opportunity for us to optimize what amount of debt we have against each one. So it's really on an asset-by-asset perspective, about whether we'd look to gain further financing, or essentially gain further financing on one asset in order to look to pay down the debt against another asset. So it's individually based.
Brad Sturges: Okay, and just based on -- I guess, you have been reviewing your portfolio in a pretty comprehensive fashion and considering asset sales. I guess where would you be at that stage? Are we potentially getting close to seeing some assets being listed for sale, or do you think it's not quite the time to be doing that quite yet?
Brady Welch: Yes. So it's a good question, Brad. So we are always looking at our assets in terms of -- have we completed our business plan is the right time to sell. Generally, it's a tough market out there today to go sell assets, but we will look at the opportunities to sell assets if we feel we can. And so I would say you'll probably see us, consider some sales on assets that we feel are not core for us long term. But we need to do it in a programic way, and see what's the best for the unit holders to sell assets, as opposed to selling in a forced market. And I think that's what we weigh.
Brad Sturges: Got it. Makes sense. Just to go back to the, I guess, leasing occupancy discussion. As your, I guess seeing new activity from, I guess, new users potentially into your portfolio. Are you seeing any further extension on timelines for negotiation, or just in terms of touring activity to get a deal done? Or has that stabilized to the best of your knowledge right now?
Brady Welch: Yes. We haven't seen that. I think people -- our tenants when we talk to our tenants, they are looking long term on where they want to be and what type of office space they want to be, and whether it's -- they're only there three or four days a week, they need to have a place, and they're putting in long-term strategies. We haven't seen reduced time to do deals and make decisions. It's the same. I think they're just considering how much space do we need, how is the business going to operate. But I haven't seen any delays in making decisions.
Brad Sturges: Got it. And just I know there's not that much left to roll this year and then looking into next year, is there more known vacancies that you're aware of at this point where there's either downsizing or a nonrenewal or do you have pretty good visibility on what your retention rate would be at this stage?
Brady Welch: Yes. So we do have pretty good visibility on that. There's no large vacancies expected right now.
Brad Sturges: Okay. Thanks. I'll turn it back.
Operator: Our next question comes from Gaurav Mathur from iA Capital Markets. Please go ahead. Your line is open.
Gaurav Mathur: Thank you and good morning, everyone. Just on your MD&A, you mentioned to various capital reallocation strategies that you will execute on when the markets become more favorable. Would you be able to provide some color on what that looks like, and how investors should think about the rate over the next 12 to 24 months?
Brady Welch: Yes. I'd say for us right now. It's a challenging market, we're being defensive or retaining cash. We're focused on making sure we have liquidity for the REIT. We will sell assets when we believe we can at a price that we feel is an appropriate price. I think today, it's not about growth. It's about managing your assets, leasing your assets, and making sure that we have liquidity in the REIT. That's our focus right now.
Gaurav Mathur: Okay. Great, and then just switching gears to your tenant profile. Are there any tenants, or are there a subset of tenants that are causing concern as you look at the vacancies in the portfolio?
Brady Welch: No. There's no tenants that we're concerned with in terms of credit. I mean -- I think when we look at our rent roll, most of our tenants are strong covenant. We do have some government tenants, but we have a lot of, I would say, AAA corporate covenants within in the portfolio. So we're not really seeing any weakness in terms of payment of rents or anything like that with our portfolio.
Gaurav Mathur: Okay. Great, and just lastly, when you're having discussions on new leases, is there an implication that you'd see your leasing costs rise as well, given the state of the office markets currently?
Brady Welch: Yes. In the markets where we operate and own assets, we look to provide incentives if we feel the covenants there, and the tenants going to commit long term and be either a combination of some free rent and some cash with the environment we're in, we're trying to maybe do some more free rent to more, I would say, creative deals where we can spread free rent across. Those are the type of things we're seeing. We haven't seen significant increases in total leasing costs in the markets where we are. I know that in downtown markets where you're seeing you're seeing like incentives and TIs increasing significantly. But in the markets where we are, we haven't seen that.
Operator: Thank you. Our next question comes from Jenny Ma from BMO Capital Markets. Please go ahead. Your line is open.
Jenny Ma: I wanted to ask about the hotel assets. It looks like the NOI was down year-over-year. Can you give us some commentary on the performance of the asset in terms of -- is it a revenue decline, or is it operating cost going up? And how do you see the third quarter shaping up, given that it's the busiest quarter of the year for hotels?
Charles Peach: I think what we have is as opposed to an underperformance in this period, I think we had an outperformance in the prior period due to specific conferences and certain block bookings, there were within the hotel. I don't think we're looking at any particular weakness in that asset. And that asset is actually, from our perspective, a strong cash flow in one, which we're pleased to have.
Jenny Ma: Okay, so it looks like Q3 '22 was a fairly strong quarter as well. So was that mostly regular business, or is there some conference revenue in that quarter as well?
Charles Peach: I think my comparison here is absolutely quarter-on-quarter from '22 and '23 within that. There was a stronger performance on the conference in the business side, and those block bookings that we had in that period. But we don't -- I'm not -- I think that was an outperformance in that period as opposed to an underperformance.
Brady Welch: I believe there was the Memorial Cup out there and so we saw that hotel experience, I would say, outperformance because of the activity there.
Jenny Ma: Okay. So would we expect Q3 come down a little bit year-over-year, then I was just wondering how much exposure there was.
Charles Peach: It is flat, flattish.
Jenny Ma: Okay. That's helpful. Turning to the credit loss that was booked in G&A related to the VTB loan. Could you remind us what property that was related to how much it was?
Charles Peach: Absolutely.
Jenny Ma: I think it's fallen through a few quarters. Yes, how should we think about that going forward?
Charles Peach: This was an asset that was solved by the REIT in September 2018. So five years ago, and there's a 5-year VTB, which was provided against that. If we think about the VTB itself, it was a significant -- it was a small amount of the sale price. So the sale price of that asset was $17 million, and the VTB provided was $2.7 million.
Jenny Ma: And what you'll see is the bad debt we have within the G&A in this period was relating to that VTV was $950,000.
Charles Peach: So if I think about it from the sale price, it's $1 million out of $17 million in the initial amount.
Jenny Ma: Okay. Why is the VTB credit loss being written down in steps as opposed to a one-time write-down?
Charles Peach: Because in September, when we first -- actually in September, what happened is we didn't have repayment of principal, but we continue to have some repayment of interest. And our expectation at that point is that we would be able to receive close to full payment, if not full payment, but we took it across a certain amount of cost on that, due to expected legal costs we might have in recovery. Since then, in looking further into it, we realized the only way we would be able to recover, was through the sale of the security that was there. We sold the security and received $1.4 million on that amount, and we expect that to be the end of the matter.
Jenny Ma: Okay. So if I'm going correct, there's $1.4 million to come in terms of...
Charles Peach: $1.4 million has been received in July, in cash and is with us.
Jenny Ma: Oh, okay. So is there any more credit loss to be booked in the coming quarter?
Charles Peach: There is no more credit loss to be booked, beyond what was booked when we initially said there would be certain legal costs and similar, and the 950,000 taken within G&A in Q2.
Jenny Ma: Okay. That's very helpful. So I presume there's no more associated interest income that you've received related to the CTV loan, is that correct?
Charles Peach: We don't expect to. If there were to be, there might be a little bit of further upside, but I wouldn't be reliant on that.
Operator: Thank you. Our next question comes from Tom Callaghan from RBC. Please go ahead. Your line is open.
Tom Callaghan: Maybe first question is just on physical occupancy or utilization rates across your portfolio. I know in the past, you guys had talked about Ireland and Atlantic Canada as leaders. But just curious on any updated thoughts you're seeing here across the portfolio, and are some of the other regions starting to close that gap?
Brady Welch: Yes. I would say each market operates a little bit differently, and I think it's a result of coming out of COVID and just human behavior. So we do see generally a trend of more activity and people coming into the office. It used to be maybe two or three days, now they're coming in four days. So the utilization of space is trending positively. And I would think in Ireland, it's much different than Toronto, for example. But I mean, that's just human behavior and where the assets are located. So I don't know if that can answer your question. But I would say we see more return to the office space in general.
Tom Callaghan: Okay. And then just switching gears, with respect to the IFRS values, you took your terminal cap rates up this quarter. Maybe just some commentary on what went into this? And are you starting to see a little bit more activity in the market between willing buyers or sellers, or still pretty sparse at this point?
Brady Welch: Yes. I think we have a methodology and a process for valuation, which we do each quarter, and we do it on an asset-by-asset level. We look at all data and inputs in terms of reports from the market, all the data points. And then that's how we take a look at terminal cap rates. And then we take a look at 10-year treasuries in each of the markets that we own assets, and apply a spread over that to discount things, and then we look at trades. But it is pretty sparse. There are not a lot of trades in office right now. But we -- that's how we do our valuations.
Operator: Thank you. There appear to be no further questions. I will turn the conference to Paul Wolanski for closing remarks.
Paul Wolanski: Thank you, everyone for joining the Q2 2023 conference call for Slate Office REIT. Have a great day.
Operator: Thank you. This does conclude today's conference call. Thank you all for attending. You may now disconnect your lines.